Operator: Greetings, and welcome to Collegium Pharmaceutical, Inc. First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Alex Dasalla. Thank you. Please go ahead. 
Alex Dasalla: Thank you, operator. Welcome to Collegium Pharmaceuticals first quarter 2022 earnings conference call. This is Alex Dasalla, Head of Investor Relations at Collegium Pharmaceutical. I'm joined today by Joe Ciaffoni, our Chief Executive Officer; Colleen Tupper, our Chief Financial Officer; and Scott Dreyer, our Chief Commercial Officer. They will share some prepared remarks, and then we will take your questions. Before we begin today's call, we want to remind participants that none of the information presented today is intended to be promotional, and that any forward-looking statements made today are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. You are cautioned that such forward-looking statements involve risks and uncertainties, including and without limitation, the risks that we may not be able to derive the expected benefits of our recently completed acquisition of BioDelivery Sciences International, on the proposed schedule or at all, that we may not be able to successfully renegotiate our contracts related to Xtampza ER prescriptions on desired terms, that we may not be able to successfully commercialize our products and that we may incur significant expense and may not prevail in current or future patent infringement litigation or other litigation pertaining to our products. These risks and other risks of the company are detailed in the company's periodic reports filed with the Securities and Exchange Commission. Our future results may differ materially from our current expectations discussed today. Our earnings press release and this call will include discussion of certain non-GAAP information. You can find our earnings press release, including relevant non-GAAP reconciliations on our corporate website at collegiumpharma.com. I will now turn the call over to Collegium's CEO, Joe Ciaffoni. 
Joe Ciaffoni: Thank you, Alex. Good afternoon and thank you everyone for joining the call. At Collegium, our mission is to build a leading, diversified specialty pharmaceutical company committed to improving the lives of people living with serious medical conditions. We are dedicated to delivering on our mission, upholding our strong corporate culture in supporting the communities where we live and work, including through our partnerships with Life Science Cares and Science from Scientists, two organizations with missions that we are passionate about, STEM education and eliminating the impact of poverty. In the first quarter, Collegium was recognized by our employees for the second year in a row as a top workplace in the USA. I want to acknowledge my colleagues for their hard work and thank them for their dedication to people living with serious medical conditions and the communities we serve. 2022 is a pivotal year for Collegium as we embark on a period of growth and value creation. In the first quarter, we made meaningful progress against our strategic priorities. Key accomplishments include we completed the acquisition of BDSI, which is strategically and financially transformative, solidifies our leadership in responsible pain management and gives us a strategic foothold in neurology. We are on track to exceed targeted run rate synergies of at least $75 million. We integrated BDSI seamlessly and achieved day one field force readiness. We grew Belbuca and Xtampza ER total prescriptions 4% and 3%, respectively, over the first quarter of 2021. We received FDA approval -- we received approval from the FDA for the prior approval supplement for new Nucynta ER manufacturing site which is expected to have a positive impact on Nucynta gross margin in the second half of 2022 and be fully realized in 2023. We executed a master settlement agreement resolving all 27 pending opioid-related lawsuits brought against the company by cities, counties, and other subdivisions in the United States. We appointed Dr. Tom Smith as Chief Medical Officer and we strengthened the Board of Directors with the appointment of Neil McFarland, former Chief Executive Officer and Director of Adamas Pharmaceuticals. The first quarter was a strong start to the year and we expect to deliver record revenue and adjusted EBITDA in 2022. We are focused on executing a three-phase action agenda that will position us to achieve our financial objectives in 2022 and accelerate top and bottom-line growth in 2023. Phase 1 is to ensure seamless integration of the acquisition through the end of the second quarter. Operational integration was immediate with no disruption to our core operations. Our team achieved day one commercial readiness, and we are on track to exceed our targeted run rate synergies of at least $75 million. Phase 2 is generate momentum and will be the focus for the second half of 2022. Our priorities are to grow Belbuca and Xtampza ER total prescriptions and complete contract renegotiations that account for 50% of all Xtampza ER prescriptions. We remain absolutely committed to gross to net for Xtampza ER of less than 65% beginning in January 2023. Additionally, as part of Phase 2, we will achieve the remaining acquisition synergy targets and execute a focused and phased launch of Olixib. Where we choose to play with Olixib, we will play to win and we will be synthesizing learnings and assessing uptake throughout the year. Any expansion of the neurology footprint in support of Olixib will be success-gated. Phase 3 is accelerating and will be the focus of 2023. Xtampza ER gross to net of less than 65% beginning in January, along with prescription growth of Belbuca and Xtampza ER will drive acceleration. We will further bolster the bottom-line by realizing the full benefit of our synergized cost structure. Our priorities for the remainder of the year are crystal clear. We are focused on growing the topline, accelerating the bottom-line, strategically deploying capital to create shareholder value, and renegotiating Xtampza ER contracts to achieve gross to net impact of less than 65% beginning in January 2023. As it pertains to capital allocation, business development is our number one priority, and we are focusing on commercial stage neurology assets with $150 million peak sales potential that will expand our presence in neurology. We also plan to rapidly deleverage our balance sheet by paying down debt, and we have more than $50 million remaining from our $100 million authorized share repurchase program that we can use to opportunistically buy back shares. 2022 is off to a strong start. We are on track to achieve record revenue and adjusted EBITDA for the year. We completed a strategically and financially transformative acquisition, seamlessly integrated BDSI into our business, and are on track to achieve our synergy target. Our balance sheet is strong, and we will accelerate operating cash flow through the remainder of this year. We are well-positioned to continue to strategically invest in the growth of our business and create value for our shareholders. I will now turn the call over to Colleen for a discussion of the financials. 
Colleen Tupper: Thanks Joe. Good afternoon everyone. We entered the year in a strong financial position. In the quarter, we seamlessly integrated BDSI into our organization, while managing operating expenses. We generated positive operating cash flow, excluding one-time acquisition-related expenses and driven by the financially transformative BDSI acquisition, we exited Q1 even stronger. Total net product revenues for the quarter were $83.8 million, down 4.5% over the $87.7 million in the first quarter of 2021. Revenues include eight days of BDSI sales. Xtampza ER gross to net in Q1 was 71.4%, which is in line with our expectations. For the full year, we expect gross to net around 73% with some lumpiness from quarter-to-quarter. Operating expenses, which include stock-based compensation, were $58.5 million in the quarter. Adjusted operating expenses, which excludes stock-based compensation and acquisition-related expenses, were $25.2 million, down 8.4% compared to $27.5 million in the first quarter of 2021. We achieved significant leverage in the quarter as a result of the synergies realized from the acquisition of BDSI, more on that later. We remain committed to managing expenses and leveraging, not growing our cost structure. Our goal is to grow revenue approximately two times the rate of operating expenses in 2022. Net loss for the first quarter was $13.1 million compared to net income of $15.7 million in the first quarter of 2021. Income from operations, excluding acquisition-related expenses, was $17.2 million. Non-GAAP adjusted EBITDA was $43.5 million in the first quarter, down 4% compared to $45.3 million in the first quarter of 2021. Before I cover the balance sheet, let me share more on the synergies achieved to date following the acquisition of BDSI. As a reminder, we closed the deal on March 22nd. I'm pleased to say that we implemented operational changes on closing that are providing immediate synergies post-close. We are also on track to exceed targeted run-rate synergies of at least $75 million. As a result of the transaction, we estimate that our net leverage will be below 3x by the end of this year based on estimated fiscal year 2022 pro forma combined EBITDA, including run-rate synergies. We also expect significant cash flow generation post transaction that will enable us to quickly deleverage and maintain a strong balance sheet to fund our growth going forward. Moving to the balance sheet, we exited the quarter with a cash balance of $106.7 million. We expect operating cash flow to accelerate from here, which will further strengthen our already strong financial position. This gives us optionality in deploying our capital. Our number one priority for capital deployment remains business development, and we have flexibility to fund or finance additional transactions near term. In addition, we will rapidly deleverage the balance sheet by paying down $100 million in debt by March of 2023 and the remaining balance over the next three years. In this regard, we expect to have debt-to-EBITDA ratio of less than 3x by year-end. We also have the option to opportunistically return capital to shareholders with the $52 million remaining on the $100 million share repurchase program authorized by the Board last year. Today, we are reaffirming our full year 2022 financial guidance originally provided on April 5th. For the full year, we expect total product revenues in the range of $450 million to $465 million, up approximately 65% at the midpoint compared to net product revenue of $276.9 million in 2021. Total adjusted operating expenses, which excludes stock-based compensation and acquisition-related expenses are expected in the range of $130 million to $140 million. In 2022, we expect to grow revenue at approximately two times the rate of operating expenses. Total adjusted EBITDA, which excludes stock-based compensation and acquisition-related expenses, is expected in the range of $235 million to $250 million. This is up approximately 105% at the midpoint compared to adjusted EBITDA, excluding stock-based compensation of $118.3 million in 2021. 2022 is a pivotal year for Collegium. We have started the year off strong and are executing well against our plan. We are entering an exciting phase of growth and value creation for the company, and I am looking forward to the year ahead. I will now turn the call over to Scott. 
Scott Dreyer: Thanks Colleen. I want to start by recognizing the hard work of our people, which enabled us to be operational on day one after closing the BDSI transaction. Collegium is firmly established as the leader in responsible pain management. Our pain portfolio, consisting of Belbuca, Xtampza ER, Nucynta ER, and Nucynta IR is diversified and durable. The Collegium pain portfolio spans the continuum of care from acute to chronic pain and includes both Schedule III and Schedule II products. All four products are highly differentiated and viewed favorably by health care providers. Each product is distinctly positioned and sources differently. Together, Belbuca, Xtampza ER, and Nucynta ER have approximately 50% share of the branded ER market. Belbuca and Xtampza ER are growth drivers. And in market research, health care professionals articulate a high future intent to prescribe. Nucynta and Symproic are key contributors. Symproic has a differentiated opioid-induced constipation product with a complementary pain specialist call point. In the first quarter, we saw total prescription growth and market share gains for Belbuca and Xtampza ER. Compared to the first quarter of 2021, Belbuca total prescriptions were up 4% and share of the branded ER market was up two percentage points to 17.4%. Belbuca 's broad prescriber base grew approximately 8% to nearly 9,000 prescribers. Compared to the first quarter of 2021, Xtampza ER prescriptions were up 3% and oxycodone ER market share grew to 34.2%, up 3.6 percentage points. Xtampza's large and growing prescriber base was up nearly 4% to approximately 18,700 prescribers. The Nucynta franchise is a strong contributor and Nucynta ER maintained a stable 5.6% market share of the branded ER market in the first quarter. Symproic prescriptions grew approximately 13.7% over the first quarter of 2021. Elyxyb represents a launch opportunity and gives us a strategic foothold in neurology. Elyxyb is celecoxib oral solution indicated for the acute treatment of migraine. We're taking a focused and phased approach to the Elyxyb launch and where we choose to play will play to win. Initially, we will have 25 territories, calling on approximately 3,500 doctors that represent about 15% of the acute migraine market in the U.S. We'll be assessing receptivity and uptake throughout 2022. Any expansion of the neurology footprint in support of Elyxyb will be success gated. To close, we're in a strong position. Belbuca and Xtampza ER are growing volume and market share, which we expect to continue for the remainder of the year. We're actively renegotiating contracts that represent 50% of all Xtampza ER prescriptions and are absolutely committed to managing gross to net to less than 65% beginning in January 2023 and beyond. For the remainder of 2022, we're laser-focused on growing Belbuca and Xtampza ER prescriptions and maximizing the potential of the Nucynta franchise and Symproic. We'll be closely assessing the Elyxyb launch. I'm excited about our leadership position in the pain market and the strategic foothold we now have in neurology. With that, I'll turn it back to Joe.
Joe Ciaffoni: Thanks Scott. I will now open the call up for questions. 
Operator: Thank you. The floor is now open for questions.  The first question is coming from David Amsellem of Piper Sandler. Please go ahead. 
David Amsellem: Hey Thanks. So, I just have a few. First, on Belbuca, can you talk about anything you may be doing differently from BioDelivery regarding commercial support of the product. And what I mean by that is anything differently in terms of physician targeting or how you're approaching the payer landscape. So that's number one. Number two, on Xtampza, just more of a refresher on getting to that 65% or below target. Can you talk about the extent to which you can at least get closer to that this year? Or should we think about the gross to net essentially being stable this year versus last year? What's the right way to think about that? Just remind me there? And then lastly, on Elyxyb. You talked about a targeted launch. I guess what do you need to see in order to expand commercial support of that product? What kind of metrics are you looking for targets, et cetera? Thank you. 
Joe Ciaffoni: Great. Thanks, David. David, I'll take the Xtampza question, and then Scott will take Belbuca and Elyxyb. With regards to Xtampza, the way to think of gross to net in 2022 is that factored into our guidance. We're assuming approximately a 73% gross to net. So, the impact of the contract renegotiations will all have effect beginning in January 2023. And Scott, Belbuca and Elyxyb.
Scott Dreyer: Thanks. Yes. Thanks, David. So first, starting with Belbuca. When it comes to targeting and commercialization, one of the main drivers of the synergies related to this deal was the unbelievably high overlap of targets with Xtampza and Nucynta targets. So our targeting is the same. We still are deploying 91 representatives to about 12,000 targets. And from a marketing standpoint, leveraging the same things we do on the rest of our brands, kind of broad nonpersonal promotion and enhancing our resources for our sales representatives. When it comes to the payer, so first and foremost, for all our brands, we're always looking for opportunities to expand coverage. Right now, Belbuca has broad commercial access over 85%. As we have for the rest of our portfolio, as those contracts come due, we'll be always looking for opportunities to win, and we'll be assessing what we can do with those contracts as they're up for renewal. Now, on to your question about Elyxyb . We're just getting going. We're excited about the opportunity in the foothold in neurology. As we said, 25 territories, 3,500 targets. As we get going here, the kind of first stage of our evaluation in terms of anything that would inform future expansion. When we see a level of performance that drives profitability at the territory level. From there, we would make decisions on whether we wanted to expand or not. 
David Amsellem: Okay, helpful. Thank you.
Joe Ciaffoni: Thanks David.
Operator: Thank you. The next question is coming from Tim Lugo of William Blair. Please go ahead.
Lachlan Hanbury-Brown: Hey, this is Lachlan on for Tim. Thanks for taking the question and congratulations on the integration. On the topic of the integration, Scott, I think you may have just touched on this, but can you maybe talk on what the sales force looks like now relative to the two companies? I know a standalone? I mean, has it grown at all or maybe the mix of reps from BDSI that are still in the field? And then a second question, just given the timing of the deal close, is it fair to say that the synergies you've already realized mostly going to be hitting in the second quarter and aren't reflecting the first quarter numbers?
Joe Ciaffoni: Great. Thanks, Lachlan. So, Scott, we'll take the question on-field force and then Colleen on synergies. 
Scott Dreyer: Yes. Yes. Thanks, Lachlan. So first, looking at our pain sales force. So right, in pain, 91 dedicated territories, 12,000 targets. And what's important there, that's a bit of differentiation from where BDSI was. Those people are 100% focused to our pain portfolio and not having anything to do with the Elyxyb launch. Then targeting and deployment for Elyxyb 25 territories focus to about 3,500 targets that represent about 15% of the migraine market opportunity. 
Colleen Tupper: Hi Lachlan, thanks for the question. To-date, with the integration, it has been seamless. And as a result, we've achieved significant leverage in the first quarter realized from that. The majority of those synergies come from a rationalization of headcount across the functions, especially G&A and commercial roles. There are certain items that are contractual in nature will take a little bit longer. But you're absolutely right with only a few days left in the first quarter when the deal concluded, most of that synergy capture is in the second quarter and beyond.
Lachlan Hanbury-Brown: Thanks.
Joe Ciaffoni: Thanks Lachlan.
Operator: Thank you. The next question is coming from Serge Belanger of Needham & Co. Please go ahead. 
Serge Belanger: Hi, good afternoon. Just a couple of questions for me. The first one, just around market trends for the first quarter. Curious if the continuity of care headwinds that have been impacting Xtampza continued and whether those same headwinds, what impact they have on Belbuca? And then secondly, in terms of the contract renegotiations, I think you've been pretty clear about bringing down gross to nets to 65% or less. But curious if you can change the terms of the contracts and impact the pull-through going forward in January? Thank you.
Joe Ciaffoni: Hey Serge, this is Joe. I'll take the market trend and then the hand contract renegotiations off to Scott. I would say early in the year, and let me step back. I think in our financial guidance, we were clear on our -- in previous discussions that we're not factoring in any improvement or assumption of improvement to the markets. We more or less are trending the prescriptions over the course of the year. The second thing I'd emphasize, this is a different year in particular with Xtampza, where we're not hitting the market with a bunch of new payer wins. And then to your question directly, at this point in the year and the surrogate we would use is looking at the overall IR opioid market along with the NBRx market. I don't think that we've seen recovery to this point that you would expect to see in a post-COVID environment. So, we'll see how the year progresses. What we're encouraged by is the fact that both Xtampza and Belbuca are growth drivers are growing market share and our growing volume on a year-on-year basis, but we think that continuity of care dynamic is persisting.
Scott Dreyer: Yes. Serge, thanks for the question on the renegotiation. So yes, we're in the throes of those renegotiations and nothing new to report, but what I'll reinforce is our goal for the life cycle of Xtampza is to maintain access while improving economics. That's where our focus is. And ultimately, we're committed to being less than 65% gross to net immediately on January 1st, 2023. 
Serge Belanger: So, would you look to switch from an exclusive position to a nonexclusive parity position or do you expect those to stay put?
Joe Ciaffoni: Yes, Serge, this is Joe. I think the key thing with the high market shares, and that's the thing that needs to be appreciated within these exclusive accounts. We have an exceptionally high market share. So at this point, whether it's exclusive, whether it's maintaining a preferred position, I don't think in terms of brand performance matters at this point in time. And in the one plan that we talked about previously, where we've had, it's really the first and only opportunity we've had to do so, we were able to reduce the discount rate while maintaining the exclusive access position. So, we'll see where it ultimately nets out on the year, but we are absolutely committed to be less than 65% on January 1, 2023.
Serge Belanger: Great. Thank you.
Joe Ciaffoni: Got it. Thanks Serge. 
Operator:  The next question is coming from Greg Fraser of Truist Securities. Please go ahead.
Greg Fraser: Thank you and congrats on the progress. Just following up on Belbuca, do you think that the expanded commercial efforts that you have behind the product could lead to an acceleration in demand growth at some point this year? Second question is on the returns issue, have you made any progress with your efforts to get reimbursement from the wholesalers. And then I'm not sure if I missed this, but on share buyback, if you could speak to your appetite for buying back shares at these levels that would be helpful. Thank you.
Joe Ciaffoni: Great. Thanks Greg. Look Scott and I maybe will tag team on Belbuca. Colleen can take returns and share buybacks. I think when you look at Belbuca and when you look at our presence in pain, the first thing I would emphasize is we are sized correctly for the opportunity, that this portfolio represents. I would also share with you, we're doing this call from our national sales meeting here in Las Vegas. And what I can tell you is that we have a highly motivated group of people who believe deeply in these pain products, along with physicians who view them as highly differentiated, view them favorably with a high intent to prescribe more in the future. So, I expect to see us get momentum coming out of this meeting. And as I outlined in the three phase action agenda, our expectation for the second half of the year is to generate momentum, and that is anchored to a belief that we will see growth with Xtampza and Belbuca setting up acceleration in 2023, driven by further prescription growth of both of those brands. And Scott, if there's anything-- 
Scott Dreyer: There is nothing more to add, Joe, you got it.
Colleen Tupper: Great. Thanks for the question, Greg. Let me touch on returns first. So, as far as where we are, we continue to pursue and engage with all of the wholesalers. We are committed to recouping as much cash as possible, and we'll update you folks accordingly when we've made some significant progress there. On the share buyback, to-date, we have used approximately half of the authorized amount, leaving a little over $50 million remaining for us. We are actively engaged in a business development search, and that is our top capital allocation priority as noted in our prepared remarks. We do, however, look to the share repurchase program, giving us the ability and the option to repurchase shares as and when the time is right.
Greg Fraser: Thank you. 
Operator: Thank you.  Our next question is coming from Brandon Folkes of Cantor Fitzgerald. Please go ahead. 
Brandon Folkes: Hi. Thanks so much for taking my question. Congratulations on the progress. Maybe just one for me, and I apologize if you covered this. Can you just remind me how large of  business is? And as you renegotiate these contracts over the next two years, how should we think about maybe the reset in Medicaid best price in the rebate there affecting gross to net? Thank you.
Joe Ciaffoni: Yes. Thanks, Brandon. Scott will take that question.
Scott Dreyer: Yes, thanks for the question, Brandon. So, across our portfolio, our Medicaid percentage is about 8% of our overall business. And by all means, the way Medicaid best price resets, as we renegotiate these contracts, the highest contracts we have are some of the ones that are expiring. And so we would expect -- it's a delay, usually of over six months, but a reset of the Medicaid-based price if we're successfully able to renegotiate to lower levels. 
Brandon Folkes: Great. Thank you very much. 
Joe Ciaffoni: Thanks Brandon. 
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Ciaffoni for closing comments. 
Joe Ciaffoni: Thank you. We are building a leading diversified specialty pharmaceutical company committed to improving the lives of people living with serious medical conditions. We are the leader in responsible pain management, and we now have a strategic foothold in neurology that we intend to build upon. 2022 is off to a strong start, and our priorities for the remainder of the year are clear. We will diligently focus on executing against our three-phase action agenda. Collegium is well-positioned to embark upon a period of growth and value creation. I look forward to updating you on our progress. Thank you and have a good evening.
Operator: Ladies and gentlemen, thank you for your participation. You may disconnect your lines and log-off the webcast at this time and enjoy the rest of your day.